Operator: Greetings, and welcome to The Alkaline Water Company Second Quarter Fiscal Year 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jeff Wright. Thank you, Jeff. You may begin.
Jeff Wright: Good afternoon, everyone, and thank you for joining us for The Alkaline Water Company’s second quarter fiscal 2022 earnings conference call. Shortly, you will hear from Ricky Wright, our President and CEO; and David Guarino, our Chief Financial Officer. During the call, we will be making forward-looking statements within the meaning of the Safe Harbor provisions of US securities laws and we may make additional forward-looking statements during the question-and-answer session. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the Company’s Form 10-Q, which was filed today and its other reports filed with the SEC on EDGAR and the Canadian securities regulators on SEDAR. In addition, such forward-looking statements and any projections as to the Company’s future performance, represent management’s estimates as of today, November 9, 2021. The Company does not undertake to update any forward-looking statements or projections, except as required by applicable laws, including the Securities laws of the United States and Canada. Actual results could differ materially from those contemplated by any forward-looking statements as a result of certain factors, including but not limited to general economic and business conditions, competitive factors, changes in business strategy or development plans, ability to attract or retain qualified professionals, as well as changes in legal and regulatory requirements. The Company issued a press release announcing its financial results and filed its Form 10-Q with the SEC. So participants on this call, who may not have already done so may wish to look at those documents, as the Company will provide a summary of the results discussed on today’s call. I will now turn the call over to our CEO, Ricky Wright, who’ll give an overview of the Company’s second quarter of fiscal 2022 results. Following Ricky’s comments, David Guarino, our Chief Financial Officer, will provide an overview of the Company’s operating results. Ricky will follow David again providing closing remarks. We’ll then open up the call for Q&A after management’s update. And now, I would like to turn the call over to Ricky.
Ricky Wright: Thank you, Jeff, and good afternoon, everyone. And thank you for joining us today. Welcome to The Alkaline Water Company’s second quarter fiscal 2022 conference call. Our record second quarter results are a tribute to the hard work and excellence of our employees, suppliers, retailers and the consumers love for the most Deliciously Smooth water on the planet. I'm pleased to report another outstanding quarter for The Alkaline Water Company. Reported sales of $15.2 million, a 50% increase over last year's comparable quarter. This quarter and our projected fiscal year numbers put us squarely back into the growth rate of 35% to 50%. They were experiencing pre-COVID. We expect this kind of gross for the foreseeable future as we activate our first ever national marketing campaign with Shaq and continue expanding into other important channels. Later in this call David Guarino, our Chief Financial Officer will have additional comments on this quarter's results. I would also like to reiterate our full revenue guidance of $62 million for the fiscal year 2022. We have been very fortunate that over the past two years we've taken action to strengthen and grow our infrastructure and logistical capabilities. These steps paid off for Alkaline88 and our retailers pre-COVID and post-COVID. As a result of our planning and execution, we've been able to fulfill orders, when many of our competitors have left the store shelves empty. These achievements required not only excellent performance from our operational team headed by Nick Salvini, [ph] but also foresight to make sure that our co-packers and raw material suppliers had the availability and capacity to meet demand. We continue to add capacity warehousing redundant suppliers finished, and broad good inventory that should allow us to meet our growth goals in fiscal 2022 and beyond. Our continued growth is most evident when we look at our performance in the Nielsen data which I'd like to highlight for you here. For the Nielsen total U.S. food data for the 52 weeks ending October 9 2021 we have outpaced the value-added category growth by 17.5% in dollar volume and 25.2% in unit volume.  If you look at the more immediate growth the Nielsen data for the 4-week period ending on the same date we outpaced the category by 29.7% in dollar and an incredible 47.6% in units. Our continued growth and outperformance of our peers has propelled us to the seventh largest value-added brand by dollar volume in that period. We worked hard and we're proud to be the leader in the alkaline water category. Just last week the beverage strategist published by Beverage Marketing Corp. highlighted the category's growth from $95 million in 2015 to over $1 billion in 2021. It's also projected the growth will continue at a compounded rate of 8.8% through 2026 making it a $1.5 billion category. The article recognized the Alkaline88 is one of the three brands that dominate the category. We believe that we will continue our domination and significant outpace the category's projected 8.8% compounded annual growth rate with our target range of 35% to 50%. Based on the momentum we continue to see and the catalyst for growth that we already have in place management has expectations that our target range of 35% to 50% will be met at a minimum for the rest of this year and fiscal 2023.  These catalysts include a number of major factors affecting our brand. First is organic growth. If you look back over the last 18 months we have consistently experienced 10% and 30% growth organically within many of the largest retailers that we've had for years. This type of enduring organic growth allowed us to be the only major value-added water to grow double digits every comparable monthly period since 2019. The third-party data including Nielsen, Catalina and others confirmed that our growth is accelerating and our consumer count is increasing steadily within these same stores. Second, retail resets are returning to normal during 2020 and early 2021, retailers for Winn adding new skews and our new products and much of their beverage sets. With a return to normalcy, we are earning new space with new existing clients and will be part of new retail anagrams in the coming quarters. Sam's Club and GNC are two recent segments that highlight our ability to earn new space in the water sets of premium national retailers. We're currently in about 75,000 retail locations across the country. We expect to see 15% to 20% increase in store count over the next 12 months. Many of them are coming in the first quarter fiscal 2023. Thirdly, sales of a single-serve size, is exceeding expectation. This is being driven by a number of factors including increased C-store presence, but also inventory turns in our existing retail. This speaks strongly to the consumers' loyalty to Alkaline88. Over the past few months we shared with the market how various single serve offerings from our flavored infused to our aluminum bottles to our one and two liter multi-packs have all performed well. Our single serve growth is over 180% year-to-date. Recent wins like Sam's Club with our one liter 12 pack and two single serve size that are being added to nine major airports are only going to accelerate this growth. Most of our SKU expansion with current retailers for the next year is also in single serve. These factors lead me to believe that our single serve will account for between 20% and 25% of the company's fiscal year 2023 sales. Fourth, the expansion to hospitality and ecommerce has accelerated as well. They're both billion dollar beverage markets and we are now positioned with brand recognition and launching of our marketing efforts to take advantage of these markets. We made the decision to bring in two new people to head these areas. And their efforts are beginning to bear fruit. We expect to start to see significant growth in fourth quarter fiscal 2022. Fifth, we are also very pleased with our new direct store distribution model that we rolled out in test markets of Arizona, Nevada and the Upper Midwest, through Hensley, Nevada beverage and Mahaska, respectively. Combined, they have added close to 1,000 new locations at some of the most recognizable convenience stores in their respective territories. These include Maverick, Circle K and QT. Just last week I saw over hundred bottles of water on display in a QT store in the Phoenix area. We are literally beginning to saturate the C-store market in our own backyard. Nationwide there are over 125,000 convenience stores that we can attack in a similar fashion over the next few years. This is a major initiative and catalyst for growth, but lots of green space still available to our brand and our brand extensions. Sixth, our expansion into functional beverages beyond superior hydration was recently launched with six 88 CBD functional waters powered by vessel technology. Our timing could not have been better as our new markets for CBD ingestible products including Texas, New York and California are now open for business. These three states alone have over 50 million adults. These new products with their superior delivery system are just our first movers into functional hydration products. We will not only continue to provide the market with ionized Alkaline88 products, our core brand, but we will also add to that base with additional functionality through the vessel delivery system. Last, we have an extra boost of confidence that will meet our sales objectives over the next several years. As we have just begun to activate our omni-channel marketing asset featuring our advisory board member and brand ambassador, Shaquille O'Neal. This is a three-year deal and we barely begun to see the true impact of Shaquille and authentic brands group involvement and driving consumers to our products. We've been fortunate to have great branding and great products that is allowed retailers to sell over $200 million worth of our deliciously smooth Alkaline88 without the support of traditional marketing. Now, we have the best brand ambassador in the world behind Alkaline88, increasing our brand awareness around the country. We expect to share more Shaq related news over the next eight to 10 weeks. And we will see more of his presence and impact in Q4 of fiscal 2022. Frank Chessmen, Executive Director of National Sales always shares a Ray Kroc quote, no one of us is as good as all of us together. It's tough to understand how special The Alkaline Water Company is unless you understand what makes us special. The strength of Alkaline88 continues to be our dedicated and experienced employees, ability to adapt rapidly to the needs of the marketplace and to our customers. I'd like to share a quick example. Much to delight in the panic of our company during the second quarter, Sam's asked us to present a number of different products and package sizes for immediate inclusion in the stores and also requested Alkaline88 to send water for victims of Hurricane Ida. In record time, Alkaline88's team sent four truckloads of water to Sam's Club warehouses who members were affected by the hurricane. To be able to get the water delivered and have it available to customers so quickly, it was truly an inspirational moment in the company's history for me. Secondly, within 45 days of our initial conversation, we work diligently to launch a brand new one leader 12 pack to 587 Sam's Club across the country. It's not uncommon for CPG companies to take up to two years from the initiation of "Hey, that's a good idea" until it can be seen in the marketplace. Because we're nimble, and we're capable, Alkaline88 has consistently been able to bring new packaging and innovative ideas to market in six to nine months. This year's innovations include Shaq Paq, 2-litre six pack, the club warehouse ready 1-litre 12 pack, the 750-milliliter white aluminum bottle, and the 88 CBD functional water powered by Vessl. During the second quarter, under the guidance of our new Chief Marketing Officer, Tom Hutchison, we launched the biggest initiative in the company's history, the production of our first omni-channel marketing campaign, featuring our brand ambassador and advisory board member Shaquille O’Neal. Last month, the first of these 30 and 15 second commercials were launched as part of our omni-channel marketing campaign, driving consumers awareness of our brand. Apart from the television time, we know that at least 225,000 people have seen Shaq as Al Kaline, the Alkaline88 truck driver when Shaq posted our big rig commercial on Instagram and received over 200,000 views within hours. Since Shaq joined Alkaline88's team, our social media following has grown approximately 35% This is new territory for us. It's only the beginning and we have over two and a half years of our contract with Shaq and authentic brands group remaining. The Shaq Paq is now available for sale at samsclub.com and we expect to have it into 1,000s of stores within the next six months. We also celebrated major wins in hospitality, e-commerce C-store and internationally. At the beginning of the second quarter, we were able to hire Gary Bliss former executive at six times sale Performer of the Year at Nestle's. Gary with the help of sales team was already able to land two major hospitality wins with nine major international airports and 800 gym and fitness centres. He is working in hard in building on many of the established relationships in the industry to set the stage for more tremendous success in the hospitality industry. We expect to be able to announce the fourth quarter of this fiscal year a major deal with one of the company's largest hospitality providers. We are ideally postured with our innovative products, including our 750-millilitre white aluminium bottle to have immediate success within this channel. Chris Pittman formally in Accenture where he led their e-commerce success join us in the second quarter as well. He has been able to secure service of several outstanding providers and has completely reworked our e-commerce strategy. Early rollout can already be seen in our recent announcement to give Alkaline88 two-hour delivery and the two largest markets in the country through Ohi. Nick Salimbene, our Director of Operations brought this amazing opportunity to the company. He knew that instant commerce continues to grow as a consumer habit. Consumer packaged goods companies are always working to improve delivery time of their products. This partnership with Ohi makes our deliciously smooth water more quickly and widely available to consumers in the biggest metropolitan markets in the country. It improves our distribution, brand awareness, last-mile logistics, and sustainability initiatives, which all contribute to the growth of The Alkaline Water Company and our brand. As Chris works with our e-commerce team, our timeline for full launch and our aggressive strategies are set for fourth quarter fiscal 2022 and we should see significant revenue impact on fiscal 2023. We're seeing great growth in the C-Store channel compared to last year when product reviews and resets were limited. We didn't waste that time though. The work that our Director of National Sales for Convenience Store and Distribution, Jim Venia did during that time has allowed us to accelerate growth through fiscal 2022 and into this present quarter. We've added numerous premium C-Store accounts and our first EGS agreements, including the with the Hensley Beverage Company right here in Arizona, which is contributing significantly to that growth. As a store resets occur in the next 30 days, we expect to share major wins and the C-Store channels. Internationally, just last week, we announced that we began to enter into the Canadian markets for the first time through a newly announced partnership with R&N Royal Palms Beverage Company. This partnership was made possible by Ryan Chessman, our National Director of CBD who made the introduction to our Alkaline88 sales team. Teamwork allows us to now introduce our deliciously smooth Alkaline88 to our Canadian neighbors. Royal Palms has a network of thousands of retail locations to which they will market and sell our products. They also reach beyond their established networks to tens of thousands of locations where they will also market our brand. Previous to that, we've been moving Alkaline88 products well into Mexico's Free Trade Zone through our relationship with [indiscernible] who serves millions of customers a month. And with distribution agreements we announced earlier this year for our products to be sold in Puerto Rico and the Caribbean, we're making significant strides towards making Alkaline88 available in this part of the world. At the very beginning of Q3, we made two very significant announcements regarding two choose two channels that we have been targeting for revenue growth; warehouse club and specialty retailers. As I already mentioned earlier, we now have our one liter 12-pack and 587 Sam's Clubs nationwide. This is our first foray into clubs, a major mover of bottled water and it's been very successful so far as we've already received several reorders, especially retail we recently announced that Alkaline88 is debuting and 350 Premium GNC locations around the country. We look forward to providing a great new water option and our new loyal customers from Oman. GNC's millions of health conscious customers. The future in all our new and existing channels looks bright. Our sales group have targeted over 85,000 new locations where they hope in the next 12 months, we will be able to see Alkaline88 on their shelves or in various venues. We are activating more and more the power of our relationship with Shaquille O'Neal and Authentic Brands Group that I believe will help us close a lot of these potential targets. As I mentioned before the category buyers also see Shaq as the Alkaline88 brand ambassador on their televisions and digital screens and believe me, we are getting their attention that we're a serious brand. National awareness is just around the corner with big things planned between now and the Super Bowl. Finally, all the great initiatives are only possible if we can deliver our deliciously smooth alkaline water on a timely basis. That can only happen if we are supported by an outstanding operational plan and execution of it. This year our operational team led by Nick Salimbene has done an outstanding job not only in securing additional production capabilities through to co-packers raw material suppliers but also managed to keep our on-time delivery numbers near or at the top of the charge for water companies. Although challenges still exist every day they amaze me with the resiliency and press severance to fight through supply chain problems and issues that allow the kind of rapid growth we are experiencing. None of us is as good as all of us together.  Now I'd like to turn the call over to David for a brief financial overview. David?
David Guarino: Thank you, Ricky. Before I begin, I like to encourage interested listeners to view the 10-Q that we filed with the SEC for more detailed explanation on some of the quarter results I will be highlighting today. For the three months ended September 30, 2021, we reported a record revenue of approximately $15.3 million compared to the $10.2 million for the three months ended September 30, 2020. This represents a 50% increase in sales. Our gross profit for the quarter ended September 30, 2021 was approximately $5.2 million compared with approximately $3.6 million for the quarter ended September 30, 2020. The decrease our gross margin percentage was attributed to an increase in raw material and freight costs. Total operating expenses for three months ended September 30, 2021, was approximately $15.4 million compared to the approximately $7.8 million in the prior year quarter. Total operating expenses increased primarily due to higher freight costs to our customers and additional promotional expenses relating to our new brand ambassador. Net loss for the quarter ended September 30, 2021 was approximately $10.4 million compared to a net loss of $4.4 million in the quarter ended September 30, 2020. Net loss per share in the quarter ended September 30, 2021 was $0.11 per share. Cash used by operations during the nine months ended September 30, 2021 totaled approximately $18.7 million as compared to $8.1 million of cash used by operations in the nine months ended September 30, 2020. The increase in cash use by operations is primarily due to our increase net loss and an increase in cash use to fund our working capital. We believe that cash on hand, which was approximately $10.4 million as of September 30, 2021 plus our line of credit, and the sales agreement with Roth Capital Partners detail on our 10-Q will adequately fund our current plan operations and capital needs over the next 12 months. And with that, I'll turn it back to Ricky. Thank you.
Ricky Wright: Thank you for all your time today. I've often heard people say that they have prepared their whole life for this moment. I know that over the past 18 months the employees of Alkaline88 have prepared for the significant growth that is upon us. Going into and coming out of COVID, our brand Alkaline88 has been the benefactor of their hard work. It really feels like this is our moment. It's now we are prepared with the investments we've made in our infrastructure and co-packing network with a theoretical capacity now over 250 million wholesale with all the opportunities that are in front of us. We have the ability to grow, support and meet demand. Now that we added Shaquille and the omni-channel marketing program to the mix, I truly believe this next year that the sky is the limit for the Alkaline Water Company. I appreciate your patience and confidence in me and our management team. We are truly creating something special here that will bring tremendous value in the near future. Thank you again and have a great rest of your day. Now I will turn it back to our hosts for questions.
Operator: [Operator Instructions] Thank you. Our first question is from Aaron Grey with AGP. Please proceed with your question.
Q – Andrew Baum: Good afternoon. This is Andrew Baum on the line for Aaron Grey. Thank you for taking our questions. First question -- good afternoon. That first question is just on California CBD with the California CBD Bill now being passed, can you speak to your path to market and how you plan to sell your CBD water in more traditional brick and mortar particularly as other large competitors look to do the same? Thank you.
Ricky Wright: That was -- again, going back to you know, we prepared for this for a long time. We actually were prepared for the Farm Bill in 2018. We began that journey clear back in June 2018. If you look at who we sold to, we are now the seventh largest, at least the last four weeks data, the seventh largest value added water in the grocery channel, which is all the traditional channels that as you've just spoken to. And those buyers are traditionally the category buyers for our CBD water as well. So those doors are wide open to us. Our brokers know that we are also looking for those opportunities. Now that the CBD is being taken adjustably in California, and we are ready to take advantage of those relationships. We've already had numerous inquiries and we know that will be on the shelves very shortly in California. We did in fact, double check our compliance with our Attorneys and we talked to actually the California Liquor Board to make sure that we're in full compliance with even the distribution side. So we're ready to roll. We have a great delivery system in this vessel. One of the biggest issues is that CBD tends to go bad, if it's set out in light and our CBD sits in a airtight container for up to five years with little or no degradation. So we think we have a fresher product, fresher ingredients better tasting. And we think that we have something that the consumer in California and New York and Texas, will step up to the plate and buy.
Q – Andrew Baum: Great, great, thank you that's really helpful detail. And then how should we think about spring shelf resets at retail and the opportunities to increase your ACV during the period? Do you feel like retailers have returned to a sense of normalcy in terms of resets?
Ricky Wright: Yeah, as a something that we were very hard at, of course last year, we're disappointed but I guess you know, when you're growing as well, as we did organically, you know, we still did better than I think any of our competitors. So, you know, that was a good feeling last year, because of the organic growth. We absolutely believe that we're getting resets. I mean, the first example of that is obviously Sam's Club. The second example was GNC. If you listen closely, I've indicated there are 85,000 places that we are looking to place additional product this year either in an SKU increase and/or brand-new customers. And I think in one of my press releases I gave some guidance on where we expect to go from 75,000. I think it was 90,000 to 100,000. So we do expect a big increase over the next 12 months in store level count.
Q – Andrew Baum: Excellent. That's it from our side. Thanks very much.
Ricky Wright: Thank you.
Operator: Thank you. Our next question comes from Kevin Dede with HCW. Please proceed with your question.
Kevin Dede: Hi, Ricky. Hi, David. Thanks for taking my call.
Ricky Wright : Hi, Kevin. How are you today?
Kevin Dede: Doing well, doing well, and always happy to see you, good numbers. So, a quick question on vessel. The CBDs enclosed in that cap. And will that cap only met with your bottles, or could someone use it with others? How do you sort of control that? And then how does your customer resell that bottle? I just looked on our web page.
Ricky Wright: So it's -- once it's twisted to the right or to open up. That's when it infuses and then it's won and done. So -- but there's no change in behavior, simply unlined it, some twisted off and put the cap down and then you're drinking a beverage. There's no mixing. No shaking. A lot of these activate type of products that you push down and shake up you get floating. No floating. Everything starts with the liquid -- into the liquid 110 pounds of pressure instantly done. Kevin you asked a good question on innovation. We are looking to put together a cap that we put it on to the product they will open up. And so in that case you would be able to use it in some other areas, but we're looking to maybe kind of create a different size cap and give you a fully recyclable bottle. So we would again be working towards our sustainability efforts and cutting down the carbon footprint by being able to send I think you can send truckloads equivalent of water. And then of course to give everybody a coupon for delicious Alkaline88 that they can pick up at their local store. So we're moving in both innovations on that Kevin. But it's a won and done at the moment.
Kevin Dede: So you offer great color on introducing CBD in California, but your prepared remarks reference Texas and New York. So how should we look at timing there?
Ricky Wright : Texas in New York, New York attorneys, our attorneys got back to us on New York just this week in terms of -- we just do make a few tweaks on our labeling. And then Texas we're preparing that same kind of overall critique just to make sure our labels are compliant. So we've asked the attorneys for that input this week. The big impetus was once 84 pass, or 88 -- or 85 -- 45 passed. Yeah, I'm getting hand signals here, Kevin sorry, AB45 passed, we just decided to go full bore with the vessel, and full bore into California because it's our backyard. And that's where we started. And I would say that, we've been in that market for nine years. We continue to grow in amazing 20 some percent a year in that market with our Alkaline88 water. And most of those buyers literally love us. We had one guy last year say that during COVID literally saved his ass. Because we're the only guys delivering water and I apologize for my profanity. But it's a direct quote. I would never talk that way.
Kevin Dede: Right. Well people that have dunkies, they need water. So I get it. So the -- I think the big question, I mean for me Ricky is just how to sort of sift through all the initiatives underway and prioritize them from your operational perspective. And in terms of what you think they'll contribute to growth as -- I mean I know I'm kind of shooting here and give you answer.
Ricky Wright: I can give you color though, Kevin.
Kevin Dede: You got the Caribbean Canada Mexico CBD. 75,000 to 90,000 doors. Yes. Thanks.
Ricky Wright: Yes. I'll give you some color on that, Kevin. And some of it has to do with we used to run this business with very, very, very lean staff. I mean I think two years ago you talked to us we were doing 19 people and averaging over $2 million revenue per employee, slightly better than Apple at the time. Now of course we're up to I think 44 employees total looking to add to that and staff up. And so some of it just has to do with the fact that I have and the management team has lightened a load with respect to what the top level management has been doing. We brought in a Director of Operations. We brought into Chief Marketing Officer. We brought in a specialist only in hospitality and specialists only in e-commerce. And so all those areas used to kind of fall under the top two or three guys in the company and now we've got seven or eight. So I think first of all even though it looks like we've got a lot of initiatives we have staffed up for those initiatives. So that would be the first thing I would say as part of that answer. Then to give you some color where we think it's going to be over the next 12 months and particularly the biggest impact next year. It's a craftier in one sense. but I think it's easy to look to the extent that Shaq and the Shaq Paq are two leaders. We do believe that it will be a leading sales product next year. We have a ton of, a ton of, a ton of interest in that. And we see that as a major benefactor adding several million dollars to our overall top line. We see for the first time in literally 18 months the stores that we have been pounding on the doors and I can't give you names right now. But let's just say there's 20-some thousand retail brick-and-mortars or more that we're counting on. We see those opening up. Candidly, Jack is helping some of that. who does make us a legitimate brand. It does make us look like a major brand even -- and we are by the way. But it gives us some gravitas that we did not have previously with the buyers. And Jack will work that in for us. He actually does calls. He does Zoom calls for us. He does takes force. So Shaq is very, very active in that process with us. We see those resets happening in the first quarter most of them. So we see I call that another say our normal growth of 2025 on our normal state, I'm going to get 15 from that say that I'm going to get a double couple from Alkaline88 in terms of new product news SKUs maybe a tiny bit more. And then, the two wildcards for us this year, are really three now that AB80 AB45, has started. CBD has a great chance of being a great product. And we've got plenty of vessels now ordered. There on the waterfront and over, we've got a bunch in stock here in the US. We're using, if you didn't notice. And I think this is a huge nuance to people listening is that we're using Alkaline88 as the base water, which avoids a huge thing, Kevin, it avoids us having to go to a hot pill, and allows us to produce this in plants that were already operating. Huge, huge change to our supply chain. It's a tremendous gift for, allows us going to other functional hydration areas as well. The one that, I would say, the biggest wildcard there, e-commerce, and we're going to go in from Essentia, was critical to us because we wanted somebody category. We wanted to understand somebody didn't have the relationships. We didn't want to start from scratch. So we began with bringing sustainment in, and it's only been a couple of months. The on boarding for that's about a 12 week period, we'll see the benefits of that beginning first quarter, but you take somebody like Essentia I think last year they did over 50 million. I think Kent did 50 million or 40 million e-commerce. These are records that I pulled off a public records, I think floated 5 million or 6 million e-commerce. We didn't know we're near those numbers. So that's a big area for growth. I think we get another 10% there. And then hospitality, coming out next is Gary Bliss is what I would call an elephant hunter, excuse me, elephant hunter. And Gary gives me, pause to just look and say okay, everything that he's looking at, and everything he's going after is in the – 10,000, 15,000, 20,000 headcount in terms of locations. And so we see there being some big answers. I don't know what the impact is. That could be excuse me, catch a quick sip here, Kevin. I don't know what the impact of that would, will be. But those two are kind of a wildcards for us that could push us and accelerate, at least to that 50% growth factor that we think we're on that trajectory right now.
Kevin Dede: Okay. That's helps a lot. Thank you. A quick question for David, the expense trajectory has been pretty severe through the first half of this fiscal year. Randy got some big hitters, you know, to help drive the business. I'm just wondering, how you think we should look at that line going forward?
David Guarino: The increase that we've had for the first two quarters we don't expect that for the next two quarters, because a one of the main drivers was freight costs and improving what up the freight from our plants our customers, which is in Dells, a marketing expense. So that was a second increase in the first two quarters. We're seeing that expense stabilize and hopefully, by the fourth quarter, our fiscal year will actually start to get back to normal. And then in the second quarter, we had some significant marketing costs, but specifically production costs relating to the Shaquille O'Neal commercials that Ricky talked about. So those expenses will not be in the next two quarters, but we will have some traditional marketing expenses relating to playing those commercials. But you know, hopefully that will have effect with our sales as well. But you know, in the first quarter and second quarter, we did have one-time expenses relating to first the Shaquille O'Neal endorsement contract and then also just the production expenses.
Kevin Dede: Right, so David, you – yes, sorry. Go ahead, Ricky.
Ricky Wright: Kevin, another way is that, you know, one of the reasons we pushed so hard to open these plants, we had plenty of water, we were very, very fortunate to bring a lot of our production stateside two years ago. So again, we weren't looking at tankers sitting off the coast of California, hoping that something got unloaded, we were producing and still are and getting stuff to our customers. But some of that we've gone from, like 3.3% last year in the southeast in terms of market share, I just looked at the report before it came in, the last four weeks, we were over 5% share. And so all of a sudden, you know, the southeast just has blown up for us. Thank you Publix and Whole Foods and Winn-Dixie, et cetera, Food Lion, that we didn't anticipate that kind of grow so rapidly, it's a pleasure to have. So a lot of what we had discern. We had to discern from our East Coast facilities. Dave and I talked last week, and we will save literally hundreds of thousands of dollars next quarter, because we've opened up the new plant last month or month and a half ago in southern – in North Florida. So those are the kinds of things that are going to help us equalize some of those costs as well.
Kevin Dede: Okay, so if I remember correctly, we're trying to open distribution in the northeast, too. Can you sort of give us a rundown on your plants and distribution centers account and maybe how that's changed over the past year?
Ricky Wright: If I told you that will kill you. No we're doing – we're on our way there Kevin. You're going to have to wait a couple of four weeks for those announcements. We never announce anything until we get we get the PO. So it's never done until the PO comes in but we have some news there hopefully, knock on wood that does occur. We do have some DSD networks that have offered to come in and help us and we've recently changed brokers there too as well help us in some of the major areas of growth. You will also see some pretty big things happening for us in the Northeast on the marketing side as well. So I don't know when those will now certainly before Thanksgiving. But you'll see some huge announcements I think in the Northeast that will continue to drive our traffic. The Ohi one was brought to us and that's kind of a cool thing that's the distribution that you get 2-hour delivery for our product that's happening opening up in LA and in New York. We have the Ricky Wright model where we send full truckloads in. So we're not shipping 52 times to a single different places and using all that carbon footprint. We're able to make a profit on it and then they're delivering within two hours. And so that's one of the reasons that we're throwing some marketing dollars into the New York City is because we're going to have that opportunity to drive traffic there as well. So you're going to see a bunch of good stuff in the Northeast. We're still only about 1% of that market Kevin. So obviously, if we could get to a 3.5% or 4% share be another $10 million or $15 million $20 million of sales just there alone.
Kevin Dede: I misarticulated my question Ricky. I meant in your own production plants. 
Ricky Wright: Well we've got openings already. One opened up two weeks ago in Western PA. They are a New York license. So that's good news. Virginia is still operating like a charm. We are looking for an additional location in the Midwest/Mid-Atlantic area. It just depends on where you draw that line but it's close to borders but right on major freeways. So we're shoring up the entire East coast. We just opened a major one in Florida that has tremendous capacity as well. So, yes, we've done a really good job, my operations team, in locating, installing, we've entered into an agreement to make sure that we don't lose our machines that we have exclusivity there now, but I don't know that is a material event. So we never announced it. But we did lock-up exclusivity with our machine manufacturer for the next two years. So we're in pretty good stead across the production lanes.
Kevin Dede: So could you give me a rough count on the number of production sites you have now versus a year ago?
Ricky Wright: Yes. I think last year we were at age. I think we're 12 today.
Kevin Dede: Okay. Thanks.
Ricky Wright: And we have at least two more coming on board -- online.
Kevin Dede: Okay. I’m sorry, go ahead, Ricky.
Ricky Wright: So we said 13, 14 Mark, and we look every day, so that's one of the things that we're headed out every day to make sure that we're in the locations that make the most sense logistically. And we can get the most efficient operations as well. That means -- that not just means the toll charge, but also based on where we now have redundant suppliers. We have East Coast, West Coast suppliers. So we want to try to make sure our plants are also close to we bringing in the raw materials.
Kevin Dede: So, David, you mentioned fourth quarter sort of returning to normal, and I'm sort of buzzing here trying to figure what normal looks like. Yes. The past three or five quarters of been up and down. So just on the selling and marketing line.
David Guarino: Yes. I thought I use the word hopeful. Hopefully, we will return to normal and then.
Kevin Dede: Okay.
David Guarino: I’m specifically talking about the freight costs, which the past two quarters have been dramatically almost double the first quarter and more than double this quarter than the prior year. So I was kind of using that specifically, hopefully, freight would come back to normal. Maybe that's a little bit too much hope than not, but I mean, we certainly have not seen the increase now, as we saw the previous six months so.
Ricky Wright: I think, Kevin, the other thing that I don't think that we mentioned in this, this call, but I think it is important for people to understand that we did implement our first ever price increase to our retailers, which is not in full effect across all companies yet. A lot of these guys we had year long deals with. And so, some of those are coming off. And I think on average, it was about 9%, David?
David Guarino: Correct. 
Ricky Wright: So, we will get some of the pressure on the margins reduced, because we'll have additional margin that the retailers will pick up and pass on to the consumers.
Kevin Dede: Well, that's a really interesting point Ricky, given inflation bearing down on consumers. How do you think your price change pits you against the major competitors that you see? And, I guess, if you could dive in a little bit on convenience versus big box.
Ricky Wright: Yes. So, Kevin, you -- I'll answer both of those. We've done a bunch of elastic demand studies in the past. We still see -- I can give you intercalate data. But on our direct-to-warehouse in some of our major brands, broader stock, let's call it, 10% to 15%. I know that retailers -- or customers go there and they don't have any on the shelf. Well, believe me, it's not because we're not hitting the warehouse, okay? We're hitting the warehouses at some of the best rates in the country, almost 100% on time deliveries. And so, that's not the issue. So I see there’s some elasticity of demand that we could actually increase price and not lose any customers. So that's the first answer. And then, with respect to our competitors, we still kind of have at least in the emerging brands. We don't use a DSD model at all, Kevin at most of our places. But we still have that DSD margin that we haven't reached yet. But we're still a great value to the consumer. And then finally, in terms of C-stores, C-stores was feel a long haul for us to get the momentum we now have and Hensley and Nevada beverage and Mahaska and have really shown us at least at the C-store channels that this is a real opportunity for growth. I think, I said in my speech I walked into Q2 [ph] which is a pretty big branch or pretty big C-store group here and so 100 bottles sitting on the floor, which warmed my heart. And I've been to a number ever since and we've got really good displays. I don't have the numbers yet on all the pull through. But I know that our GST partners are reordering at a pretty frequent rate which bodes well for our future and maybe bodes well for that northeast model. We've been continuing to try to pound the rock and finally break through.
Kevin Dede: Thanks for taking all my questions. I really appreciate it.
Ricky Wright: Good. Have a great day. Thank you. There are no further questions at this time. I would like to turn the floor back over to Ricky Wright for any closing comments.
Ricky Wright: Again, thank you very much for having faith and the team and the management. It's great to be part of the Alkali ADA team here. We've got a great board. We've got great employees. We've got great new add ons in the past 12 to 18 months. And we have probably the world's best brand ambassador is Shaquille O'Neal. We see growth in every place we're looking. We see organic growth. We see growth by new ads, new retailers, new hospitality areas. This no northeast has Kevin asked do we see the beauty of being in three of the largest airports in the world in LaGuardia, JFK and Newark, and having plans to make some noise in New York City over the next year, year and a half with our brand ambassador. So we see that as a huge upside for us. We see this company returning to hyper growth which I've always defined as 35% to 50%. And with our movement in the CBD and in the E-Commerce and the Hospitality coupled with all the other things we're going, we could really have a tremendous year next year. I still believe we're one of the most undervalued stocks on NASDAQ. Our upside is so great. If you look at what just happened with Body Armor, of course they're valued at $8 billion. I'd love to have that number. If you look at what's happened to sale season in the last couple of years. Ironically, our US sales is about two years behind where their US sales were. So we're looking for that kind of growth and that kind of opportunity. I want to thank everybody for taking the time to spend this time with us today and thank you Mr. Host for making this happen as well. Have a great day everyone.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and a wonderful evening.